Operator: Good day ladies and gentlemen. Welcome to the Comstock Mining Announces First Quarter Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Mr. Corrado De Gasperis. Please go ahead.
Corrado De Gasperis: Thank you, Michelle, and welcome everyone to our first quarter conference call. I’ll provide a brief summary of the information included in our press release from this morning and also an overview of our financial statements that were filed on Form 10-Q last night. This reporting cycle is our fastest to-date and we’ll continue to improve on the speed relevance and timeliness of our external reporting. It not only improves our quality and transparency but significantly reduces internal and external accounting and reporting and audit cost. So I’m very pleased with ability to be out sooner and I expect it to continue to be sooner. In addition, I’ll also provide an update on the cost reduction efforts and our outlook for the remainder of this year. If you don’t have a copy of today’s release, you will find a copy on our website at www.comstockmining.com under News/Press Releases. Also please let me remind you that in addition to the outlook I may make some other forward-looking statements on this call. Any statement relating to matters that are not historical facts can constitute forward-looking statements. And the statements are based on current expectations and all of those statements are subject to the risks and uncertainties that could cause actual results to differ materially. The risks and uncertainties are detailed in the reports that we filed and in the press release that was filed this morning. Now let me briefly overview the quarterly results. Shipments of gold in the quarter were 4500 ounces and silver was almost 50,000 ounces representing increases of over 100% for gold and 215% for silver from last year. Revenue from gold mining was $5.6 million, a 53% increase from last year, and silver sale added an additional million dollars of revenue in the quarter versus only a half million last year representing a 100% increase in revenue just or in -- yes and revenue from silver despite lower silver prices year-over-year. Remarkably and pleasantly, our yields from gold and silver as we’ve matured some of the cycles in our reaching process are higher than expected project to-date and we have now formally raised our estimate for gold recoveries from 68% to 74%, a very important positive variance for us. Costs applicable to mining totaled $4.8 million as compared to $3.8 million last year although ounce has shift more than doubled, cost increased by only 24%. General and administrative expenses were down 35% from the prior period with reductions coming across the board and labor contemplation, external legal and external consulting and other administrative reductions. Net cash use and operation was reduced to just over $2 million during the quarter, but much more importantly we did not use any cash in April in fact we increased our cash balance from last month to this month and it’s a marked objective for us that resulted from high to poor rate through most April almost 20% higher resulting from higher grades that have been delivered to the heap leach pad specially in March as I’ll highlight in just a minute. In addition, we’ve accelerated the cost reduction efforts and really made some meaningful achievements during the quarter. Overall, our mine planning and mine engineering process I think is the fundamental enablers of all of the improvements that we’re able to make currently or fully and internally integrated in terms of our mine planning from geology to engineering to operation, and we’re seeing a significant increase in the precision of our bench plan and the improvement of our grades and the controllers of our grades, and it’s not just that that less variation allows for so much better predictability of our material flow, but it’s really allowing us now to much-much more efficiently schedule our downstream processes. That’s probably the singular most material result in cost reduction today. We’ve already reduced over $1 million in annualized labor along just between mining, crushing, and related maintenance. And we have just secured another million dollars in reduction that will start within a few week effective May 1st coming from changes in our drilling blasting and energy management. These reductions come from both internal labor, internal savings as well as reductions and/or eliminations of external contractors. So we’re very well on track for reducing our year-over-year cost of mining by over $6 million. We mined over 1 million tons of material in the quarter. That’s both mineralized material and waste. And we continue transitioning into the higher grade segments of the mine plan by working through some higher stripping ratios. Total mineralized material delivered to the pad was over 205,000 tons that represented some of that highest gold and silver grades crushed to-date. The average for the quarter was higher than last year at 0.024 ounce per ton gold and 0.345 per ton silver, but March alone averaged over 0.034 ounces of gold and over half an ounce of silver per ton, adjustments in Lucerne mine segments which are, we’re into the Justice and we heading into the Lucerne are now realizing those grade improvements and we really look at see that continue very nicely, throughout the rest of the year. In addition, we’ll see a steady to ultimately much more dramatic improvements in the strip ratios which will really complement you know the grade improvements that we’re seeing and end result in a lot more high grade ore heading to the crusher. I don’t have the final tallies yet for April but head grades delivered to the crusher months to date, are even averaging higher than March. We’ve also accelerated the late production now and look forward to significantly improve deliveries through May and June. Two weeks ago for example we averaged 0.07 ounces of gold for a very-very nice run that whole week and just this past weekend we encountered some tenth of an ounce and even some quarter of a ounce gold through the north just these blast hole benches as we’re preparing to mine that material, Saturday, Sunday, yesterday and today. This is much more typical mix of the mine that we would expect you know in terms of a positive variations to grade, as we get further north into the Justice and ultimately deeper into the Lucerne floor. Throughout the first three months of the quarter we realized average pricing was just over $1251 price per ounce of gold and $20.73 per ounce of silver. Average price per gold shipped in April was much higher at $1273 and the company currently has almost 3,000 ounces of gold for a price that an average of about 1310 per ounce so we certainly expect to realize higher average prices in the second quarter as compared to the first quarter. Overall, our cost continued to drop sequentially as we previously mentioned on a per ounce basis from inception where we were obviously over $2000 an ounce and we were running at less than our capacity, dropping down now to just over a $1000 per ounce and as our cost reductions are already taking effect and we’ll be accelerating in the second and third quarters of this year. We’re on track to deliver all mining and processing costs, all costs associated with mining less than 25 million and coupled with a higher production on track to meet or exceed the $750 per ounce target that we’ve established. The dollars that are front of us for further cost savings are energy, fuel, haulage and almost across the board material usage efficiencies resulting from a much more stable and much more better schedule of production. We also reported in the 10-Q report that we have prepared our drilling plan to further develop our services in Lucerne, Dayton and Spring Valley. We have much precision now meaning the programs are planned to the specific drill holes, feet, cost etc, and we only designed a significantly increased our resource and allow for the expansion of the Lucerne mines to the east and the development of the Dayton mine plant. We have not established a start date for that drilling program but all of the prerequisite work needed to be done by geology is done and we have a little bit more preparation to do in terms of updating some of our communications and preparations but we’re really getting ready to go. So just to summarize the brief overview, April was a positive cash month for us and we look forward to applying higher grade, low strip ratios overall lower cost in generating positive cash flow in the future. Our efforts are almost focused on lowering cost and expanding production with the exception of looking forward to expanding the resource base with some future drilling, so with that Michelle why don’t we go right to questions.
Operator: Thank you. (Operator Instructions) The first question comes from Bill Gibson, please go ahead.
Bill Gibson: From a high product, say just from a bookkeeping point of view do you have the gold equivalent ounce number for the quarter. 
Corrado De Gasperis: Yes I do, give me one second and I’ll pull it up. Is that your only question?
Bill Gibson: I think Chip has a follow on.
Corrado De Gasperis: All right go ahead while I’m looking it.
Unidentified Analyst: So really simple, ratings are everything and you know you’re trimming this and trimming that and you’re getting better stuff out of the ground but keep it really simple, we saw month to month cash increase from your operation in April, correct?
Corrado De Gasperis: Correct and it was literally stable and like that every week of the month.
Unidentified Analyst: Okay beautiful, all right, so you think you got the hopefully the beginning of the right direction here, what would you pick about 200 grand in cash.
Corrado De Gasperis: Yes, 200,000-300,000, it’s very-very meaningful to us from a not just obviously positive but the stability is getting very-very solid and with what we see in the mine plan from June to December, just sticking to the calendar for a second it’s really outstanding.
Unidentified Analyst: Okay so kind of go from there and then hopefully you know day by day week-by-week, month-to-month you start to get some confidence in that operation that you kind of lean on that. So you kind of extend your drilling program to build out you measured and indicated is that kind of the play?
Corrado De Gasperis: That’s right. Our entire team is focus on reducing costs and increasing production, let say for, except four, maybe four or five key managers and permitting and planning where we really focusing on now, going -- looking out how we expand Lucerne mines to the east and how we, as you said team and increments the expansion of the resource through drilling, so it’s still, I still want to give the impression because it’s correct that the absolute substantial majority, substantially all of our resources are focused on cost reduction and cash generation, but we have a little field team fix, if you want to think of it if that way, looking forward in the next expansion.
Unidentified Analyst: Yeah. Okay. Good. Thanks.
Corrado De Gasperis: Alright. And is Bill still there?
Bill Gibson: Yes, I am.
Corrado De Gasperis: Bill I am showing 5298.
Bill Gibson: Okay.
Corrado De Gasperis: Okay.
Bill Gibson: Okay. And guess -- got you, that’s exactly. Thank you.
Corrado De Gasperis: All right, there. Thank you.
Operator: Thank you. The next question comes from James Dull (ph). Please go ahead.
Unidentified Analyst: Thanks Corrado. Slightly embarrassing question this month. You guys are doing terrific.
Corrado De Gasperis: Go ahead.
Unidentified Analyst: You know the stock prices has been hovering in around books that will be, you know substantially higher early in the year?
Corrado De Gasperis: Yeah.
Unidentified Analyst: I haven’t seen any open market share purchases by insiders, is that -- I don’t know why the deal, why that is and all this figures all goes under (ph) reasons why that has not been or whatever else but it might be a good vote of confidence in your spark until forth and your company is that what it place? Do you only comments on that otherwise?
Corrado De Gasperis: Surely, first of all its not embarrassing at all. And thank you for bringing it up. I think it just, I’ll just make two quick points. You know we’ve been very, very much and probably there are nose to the ground (ph) I think as a company as a management team and even as a board, you know, you don’t see any selling and you see a very large accumulative position, but your point is valid and frankly we see the opportunity especially at this inflection point. I think, there is always turmoil as it comes to the macro market but from a macro perspective, we’ve not been in a situation with lower risk more stability. And just from a operational standpoint, feeling some wound at our back, it is fair to point out, it has nothing to do with buying and selling the stock but just on the point of operations that we’ve been a little frustrated too, in terms of the transitioning from the Billy The Kid and the Hartford sections of the mine into certain adjusted. So it’s delightful as it is to start hitting tend to announce in the averaging point 07 for a while week and those kind of great outcomes. I mean even Friday was the delightful when we were lasting a bench and as just as we hit mainly intent to announce per quarter we’ve announced. And we just jumped right in, but having said all that, the transition from those sort of more parameter act access the mine down into the heart of it, have been longer than originally planned, I think some of the segway or we condemned because the strip ratios we’re just too high. So there is been a little bit of jockeying, positioning and moving. I just feel now, that the pistons are pumping, we’ve had record days of moving material in cases we’re just getting through that ways and in some cases we’re hitting this great or. So I think that, just from a macro perspective I -- we’ll have of it, we’ll have more of in April 1st and for a bit of May. We get to May, when we closed to end of May, June as I think that situation is going to reversed itself. So to Chip’s earlier point, to be able to manage cash respectively, at this levels is really, really critical because as we turn it and move it up, it just gets better and I suspect that, not just management but, the market as a whole will start to be feeling really good about this. Management has been fully committed but we end, since day one. And it’s really feeling like, we’re getting into some groove. So when we have the opportunities to do that and the circumstances are aligned, I think you’ll see and there’s never been a more bullish sentiment, coming from us, in terms of getting there.
Unidentified Analyst: Okay. You know, thank you guys, you are doing a great jobs and the reports are very good, hopes like you’re [Indiscernible] needed to be cash flow positive pretty quickly here so with work just keep it up.
Operator: Thank you. The next question comes from [Indiscernible]. Please go ahead.
Unidentified Analyst : Hi, Corrado. This is Jeff William for HICO (ph). I noticed in the release that an additional 3.5 million in non-mining related cost reductions have identified. Would you provide a breakdown or just some general color on where you see these occurring?
Corrado De Gasperis: Yes absolutely. It’s almost across the board and the administrative areas. We have targeted significant reductions in our external financial cost and let me qualify it’s not just audit cost I mean those certainly with the way the cycle times or close are going et cetera those are coming down, but we also had to break a lot of bread (ph) over the last 18 months with Sarbanes Oxley. We are probably the worse sized company to be dealing with those kind of things to the credit of the financial group, we have excellent controls obviously no material weaknesses at all. But more importantly, we went from creating them, implementing them, testing them, and it requires almost by PCA will be ruled significant assistance from independent third parties. So we were using folks like [Indiscernible] et cetera extensively, so that’s coming down quite a lot. In the area of sort of external relation and community development, we did still a significant amount last frankly leading right up and through year-end and January 2nd we’ve got unanimous approval from Lyon County for some zoning request that were breakthrough, but it took a lot of management time and it took external legal and external engineering support time. So those costs are being eliminated. We were doing a lot of building from an information technology standpoint and we were using sort of flex support, flex advisors both for sole proprietors and firms, and we are cutting that down to almost a single internal resource. When we go through it from top to bottom, there seems to be a lot of opportunities for us just to streamline and be simple. I don’t want to give the impression that we were wasteful but because when you are going into production for the first time, you’re creating inventory system, you’re creating cost accountant system, you’re putting controls over those systems. It’s not an insignificant effort. And then the audit costs are significant. So I can’t think of one sort of external advisor that were not either reducing the scope renegotiating the bid or coming down. The lastly category that I would say is meaningfully material is -- we really over scoped positively I’ll say over scored positively significant amount of work associated within environmental assessing and dealing with the right away. We did it because we were required to do cultural and environmental studies associated with the right away. But we figured if we’re doing some of these things now for a certainly component of the territory, why don’t we expand them even if we don’t have a foreseeable use. It’s very-vey efficient way to eliminate future redundancy. So those costs are coming down dramatically as well. So all in all I expect to see labor, legal, financial, accounting, IT, HR almost all of the costs contribution some amount of reduction adding up a very meaningful dollars.
Unidentified Analyst: Perfect that’s great. Thanks for the color and congrats on the quarter Corrado.
Corrado De Gasperis: Thank you, Jeff.
Operator: Thank you. The next question comes from Stephen Shipman. Please go ahead.
Stephen Shipman: Hi, Corrado, how are you?
Corrado De Gasperis: Hi, Steve. I am good. How are you?
Stephen Shipman: I am great. Thank you. I’ve got Scott with me as well and also we send our best for Marne and Jim. I have a couple of questions. I hope I am not going to take too much time for folks.
Corrado De Gasperis: No worries. Please.
Stephen Shipman: The first thing I’d like to focus in on is the exploration and some of the announcements in your press release. First of all, do I have it right by looking at the income statement that exploration expenses were roughly $1.08 this past quarter?
Corrado De Gasperis: Yes and no. What you’re seeing in P&L is the correct number but that line item from a GAAP accounting perspective is not exploration. It has reclamation and a lot of environmental and bonding associated cost and accruals associated with it, which I’m very happy to breakout for you separately and I might even consider breaking out a foot no going forward because it’s never provided a clean line of real exploration dollars which I think is important for people to be able to see.
Stephen Shipman: Yeah. I can pull up the reclamation number out of the cash flow statement but the rest you can’t, so what would that number has really been, you had budgeted about 3 million for the year, so that be about 750 for the quarters, that 750 are right for exploration this last quarter?
Corrado Gasperis: The fixed based, let say internal cost associated with it, it is closer to about a 4 million.
Stephen Shipman: Okay.
Corrado Gasperis: Alright. So it just be slightly last than 0.5 million. You know 350, 400,000, I don’t know the exact number, but as it is the total, that’s the entire geological staff, certain fix support activity is even metallurgical.
Stephen Shipman: Okay.
Corrado Gasperis: But I’ll do -- I think it be best if I just provide a little sort of breakdown to that [Indiscernible].
Stephen Shipman: And that kind of leads into the next question which is that, you’ve identified starting towards the end of ‘14 and sort of ‘15 about $9 million worth of expenditures, if I had read that right. Seven, in the Lucerne area and then was it two to Spring Valley?
Corrado Gasperis: Yeah. It’s actually the seven was Lucerne and BM.
Stephen Shipman: Right.
Corrado Gasperis: And it almost equally split and then or it’s just under 2 million, if we continue to extend out to the Spring Valley.
Stephen Shipman: And so does that also include the existing budget for ’14. so that the actual net new announcement level is something more like $7 million?
Corrado Gasperis: No. I would be an incremental 9 million.
Stephen Shipman: Wow, okay. That’s meaningful.
Corrado Gasperis: It is meaningful and it’s not necessarily a calendar number.
Stephen Shipman: I understand. And is Larry doing cart wheels?
Corrado Gasperis: Not yet. Because I haven’t given him the green light, he’s very excited, we posted a new presentation and the work that the team has done is exceptional in terms of correlating the existing known structure, really enhancing the geo physic that was done especially in the connection to be in the Spring Valley and laying out, I mean we really challenge, but I wouldn’t say on every single whole but directionally. And we are very, very excited about the increase in resource that will occur from this type of drilling. It’s more advanced than that because really stepping out in the east is the infill and development program which will certainly increase ounces in the highest category by a lot. But, and indeed and we expect it would be sufficient to give us the mind plan, you know during the HB, the broader community in Lyon County in terms of permanent. So those are pre-exquisites that have low risk, high, high return, but when you look at some of the step outs that Steve Russell [Indiscernible] Larry, Jason, our whole geological team have sort of, is there all structurally controlled. So we wouldn’t expect the big difference at all from what our history is which is basically hitting on every whole and growing resource which needs some bound.
Stephen Shipman: Sure, I can conclude or deduce that the capital allocation decision over the near term or to take the access cash and rather buyback or dividend you’re looking at, putting that into the exploration? Yeah. I think if you formally did that math, to validate, the rate of which we can add ounces to the inventory with overwhelm many thing else.
Unidentified Analyst: Sure. No I understand that.
Corrado Gasperis: So we’re anxious to get to it, I don’t want to tease people but we’ll let people when we are really ready to go and then, I think we talked about on the last call, I mean there is three drill program and in fairness even though Spring Valley and DN (ph) is starting to show, a tight connectivity, you might have two or three updates to technical report, depending on the results of each. So I would say it would 6 to 8 months from, where we started to the point where we would have enough of the drilling, enough of the feedback, enough on the contextual analyze to truly update the model.
Unidentified Analyst: Sure. And with such a lousy mining environment generally speaking and specially end of that, are you seeing costs coming down for exploration, for the equipment cost?
Corrado Gasperis: We are there is, yes, it’s fair to say these numbers have contemplated a little bit of that but certainly not all of it. Because, you use the right for a exploration development standpoints the driller are sucking wind.
Unidentified Analyst:  Yeah. That’s what we are hearing on other conference call. It’s good to see that you’re taking advantage of it. Second question I have off of the exploration subject. The 10-Q disclosed at the end for recent activity that the company decided to issue shares for the Salzwimmer, is that how you pronounce it, Salzwimmer properties.
Corrado De Gasperis: Correct Salzwimmer, yes.
Unidentified analyst: Why wasn’t cash used instead of shares.
Corrado De Gasperis : Well Dan Salzwimmer was a long holdout in terms of, no I wouldn’t say hold out, there was never any contentious anything, he’s a wonderful friend and neighbor of the company, his property was the absolute strategic connector of our existing private acres to a very-very large private acreage position that we have to the south of it and really was just a break through, now the breakthrough in terms of having now, going from something like 70 acres of processing of which we were pushing the envelope in terms of boundaries to having well over 400 acres of contiguous private land, and we weren’t in a position at the time to make an all cash offer and take it out completely and Dan being such a proponent, sort of supporter of what we’d accomplished was willing to be flexible. We still have flexibility in that regard going forward, you know as long as it’s mutually agreeable, so we’ll see how it ends up and we’re trying to structure it in a way that ultimately could be more sensitive to the amount of shares issued, but we just, in the grand scheme of things with hindsight we just needed to lock it up and we did.
Unidentified analyst: So when I look at this Q1 versus Q4 the terminating periods of the 10-K, I’m adding about a 1.2 million shares for dilution purposes and I’ll go through those there’s about a 137,000 for the loan, it’s about a 100,000 for employee options or RSUs, whatever they are, and there’s about 980,000 for the Salzwimmer is that about right?
Corrado De Gasperis: That’s right.
Unidentified analyst: Okay, thank you for that.
Unidentified company representative: Thank you.
Unidentified analyst: I know that it gets a little bit wonky but you know us analysts.
Corrado De Gasperis: No, we want to be precise, especially with those disclosures when they haven’t fully consummated.
Unidentified analyst: Gibson’s even worse than I am.
Unidentified analyst: The last question I have is more about the prospects of the company, there’s the 40,000 ounce guideline for this year, I’m not going to ask you for what you think ’15 is going to be but if you could sort of describe to us, if you go from here to say 60,000 ounces what kind of additional cash resources all in, I mean excluding obviously exploration but if you’re looking at G&A plus any other mining expenses what kind of cash costs do you project it would take to get from that 40,000 ounce production level to the 60,000.
Corrado De Gasperis: Let me answer it precisely, the real, the way that I would like to answer your question is, what would it take to sustain it, right, and the answer is, we have about $3 million, just a little over $3 million allocated for the rerouting of the roads that essentially separates the west from the east, and we’re working on plan, talk to the county and they’re really outstanding, they’re shaping to be very outstanding in terms, little disruption ultimately it’s going to look better than when we started but effectively exhausting out the west side and rerouting that road to allow us to migrate the mine to the east, is a prerequisite for that type of growth and the sustainment there of.
Unidentified analyst: Sure but that’s almost a one off CapEx right.
Corrado De Gasperis: That is a one off, sorry and there’s one other one if I could just mention it, the expansion of the haul road that takes us from the mine to the processing area and then let’s say the subsequent continued expansion of the Hiblitch module cells if you will, you know, would represent another let’s say 2 million.
Unidentified analyst: Got it.
Corrado De Gasperis: So those are not, I mean -- rerouting the road is not insignificant, I don’t want to minimize it at all, specially careful we have to be in doing it, but the expansion of the haul road and the expansion of the Hiblitch pad would be pretty routine in terms of infrastructural, and then, to answer your point from a lever perspective to go up to you’re talking now about exceeding 2 million ton rate maybe closer to 3 million ton weight although it might not necessarily be that high depending on grade, right, you would have add some cycle times to the mining and add some to the crush end, but it’s a not significant amount of labor and I don’t have the number on top of head thinking through variable and fixed cost. You may be talked, I should reserve myself. But with all variable cost you may be talking about 3 million. I am going to double check that but just coming from even what’s probably disclosed you can probably derive that number but let I double check it.
Unidentified Analyst: Sure, sure. And then obviously there is not really much on the G&A line item for that maybe 10% bump or something like that?
Corrado De Gasperis: The only increase cost would be associated with the environmental/engineering work and to be really straight we spent already through today 80% right of the study work for further expanding of the heap leach expanding of the road because they’re all prerequisite analysis that you have to do before you even file the permits and those permits are already filed. And we’re doing the work now for rerouting, so we’ll have some engineering and administrative cost associated with that, but form an infrastructure like the company like we wouldn’t anybody.
Unidentified Analyst: Now, that’s great. I think that answers that. What do you think the timing will be from your guys’ perspective about the guiding for that 50,000 or 60,000 ounce target?
Corrado De Gasperis: I will be reluctant to doing it until the special use permit and the related reclamation activity associated with that are approved. I would love to feel like we could have that done before the end of the year with real possibilities that it’s being late third quarter or early first quarter like September-October timeframe. We have a schedule that could allow for that. It’s not critical but we’d like to do it soon rather than later. And then we’re doing -- we’ve done extraordinary mine planning in terms of strengthening the geological controls in the mine plan, we reduce variation from what we expect to mine to what we’re actually mining tremendously. The bigger [indiscernible] of our existence was some of the deficiencies in that in 2013. And as soon as we’re about a week away actually from completely recasting that maybe two weeks away on the west side and then we’re going to get work on the east side. So we’re going to go from taking a large resource sort of constrained by permits and roadway to calculating and engineering reserve. And then when we have that, we would feel comfortable to guide. By learned any lesion it’s the geology rule. These guys have to do the work the right way to the credit they’re working their tails off because they’re in a wonderful situation I mean beside the decision we had on Larry and exploration drilling, the core geological team which is robust and Larry is a part of. They have got tremendous amount of geological engineering and metallurgical input coming in on a daily basis. And to their credit, they’re digesting it. They’re recasting it. They’re controlling it in terms of mine quality. But now they’re projecting it throughout the rest of the structures. It’s giving us -- we've always had good dataset and strong geological controls and sometimes you don’t like the revision, sometimes you lose resource because the gold and silver was there but it’s a little awkward or difficult to get it. But more than anything the strength and probability of what we’re analyzing is way up, right. So we have expense extend that, now if you look at the thing that back for a minute and this is important, if you look at Lucerne right and you have x-ray vision what you would see on the west is known from internally known proven certain structures. What you would see in the middle is highly, highly probable and known structures. We’re little bit infilling you’ll get to the finish line, but then when you look to the east you have a lot of inferred ounces with a lot of high grade, right. And so inferred ounces you not make a minable ounce, right. There is still a tremendous amount of drilling and development that need to be done. So the probability I don’t even think we need to debate it in terms of getting up to the right you’re discussing, but the precision is a lot more work.
Unidentified Analyst: Well, I appreciate that and I thank you and the other listeners for the time that we spent on this matters and congratulations for good quarter.
Operator: Thank you. The next question comes from Carl Frankson. Please go ahead.
Carl Frankson: The previous fellow went over exploration and what not and I just -- that was basically my question and I hope I’m not asking you to repeat yourself, but I did have a couple of questions regarding that, because for me kind of the existing part of the Comstock story is, comes from exploration. And when you start the drilling, you’d mentioned the technical report will be six to eight month, before it’s updated, I assume that’s 43-101.
Corrado De Gasperis: Correct.
Carl Frankson: I believe last quarter you had mentioned there would be some additional transparency on the exploration, where you could announce drill results, kind of, as they come in. And we don’t have to wait for six to eight months to find out what happened, so in other words you could report that that something that is loosen out you know we had intercept the 40 feet, the potential brands or something like that?
Corrado De Gasperis: Yeah.
Carl Frankson: That you know are really kind of exciting, I think to all the investors. Is that still in the plan where you can be a little bit more transparent rather than just waiting to update the 43-101? And also in case I’ve missed it, for the $7 million, I am very happy to hear it, the phrase like cash flow positive, but I wasn’t quite sure how that is being funded, I assume it won’t be out of operations?
Corrado De Gasperis: Well, we haven’t made any -- we have that -- that’s where I have stolen some water on Larry’s excitement right. We haven’t given him the green light yet. So, he’s done all the pre-requisite work and it looks very, very exciting. And so we’ll just have to wait and see how it progresses. You know there’s a lot of a variables and we have the flexibility to delay -- nobody wants to do that, right. So let me answer your first question though. With a resounding, not only yes, in other words, we don’t see with the maturity in that we have in our mining and our geological, let say structural control, we don’t have any apprehensions of giving more immediate results, clearly and transparently. As long as we are ourselves have some context. Because we don’t -- we certainly don’t want to mislead somebody, right. So with the right context, than the right disclosure, I think we could be very fast, at given transparency. And in fact, I don’t know if it’s been posted yet, but we know we have paid -- the company presentation, it hasn’t posted yet, it will be within the next 24 hours. But we have updated the company presentation and the geological section has been expanded, where not only do we show the historical drilling in some of the great profiles from Lucerne, including the east side, but we’re showing and some of these have been published before, some of the context of the shoot (ph) zone, relative to the Woodville Bonanza and relative to the high grade with certain resources underground, with some cross sections, but now the team -- the geological team has gone so far to actually publish right the purposed drilled hauls on the e-side. We show some publications, some -- this specific grading of the Genesis discovery haul and where it’s positioned to just south of Dayton, where you see like 215 feet of good grading ore, well over a ground grading ore in that discovery haul and it’s not just the massive amount of length and the good grade, but where it’s positioned, in between the Dayton resourced and the original Spring Valley discovery haul, which showed a quarter of ounce of gold for over 30 feet, complemented by almost another 75 feet of great grade below it, just 35 feet below the surface. And so, Larry’s laid all that out now in a presentation, we’ve got the results of the geophysical magnetic surveys, that was conducted over all of that know mineralization from the Dayton down in the Spring Valley and the proposed drill hauls on top of it. And so in very layman sort of way, which is good for me, we’re able to show how we’re just minimally following this model and drilling along the structure. And anybody who sees those hauls, one is to drill them as we do way and then even and we’ve never done it and I don’t think these might detailed before, but we even put a slide together that shows, area by area, the number of hauls, the number of speed, we’ve disclosed it as well in negative form in the queue but we are giving people real, real visibility and you guys will see when you look it’s slide and you look at the Q, I turned around that the numbers up a little bit. You know, but that doesn’t take away from Steven point there, that we haven’t negotiated, the drill contracts and it’s very, very right. It’s very, very right for us to do that. We’ve always had an extremely efficient operation, and I would delineate the difference between efficiency and productivity. So efficiency it is, you’re drilling a lot of the -- at a very, very low cost per foot, that’s sufficient. Affective done and productive is you’re finding a lot ounces for the amount of money that you’re drilling. We’ve always been bowled. And so we could really with this amount of planning in our pocket, we could really do better. So I say yes, more transparency, yes more frequent publication of the results, good context when we can provide it, ultimately culminating in a technical report which I don’t think will be anti climactic because as much transparency as much is abilities you can give to great trends and great progress, you know you have to truly update the model to know how many ounces you increased it by.
Operator: Thank you, (Operator Instructions) the next question comes from Alexander Goran, please go ahead.
Unidentified company representative: Hello?
Operator: Alexander Goran, please go ahead.
Unidentified company representative: You might have lost him.
Operator: Thank you, we will take the next question from Jack Albright, please go ahead.
Jack Albright: Morning, Corrado.
Corrado De Gasperis: Hey Jack, how are you?
Jack Albright : Oh, just fine, I was looking forward to June, making reservation at a hotel, I just had a question about the hotel, how is it doing financially.
Corrado De Gasperis: It’s doing better and better every single month, you know our occupancy rates before we acquired were like 33%, I think last year they leapt up to over 50%, we’re heading to over 60% and off to a very robust start this year, I think somewhere in the high 60s you know maybe 68-69-70% you know it breaks even, so that’s our plan, that’s our goal and it’s becoming more and more a center of activity. You know you’re actually giving me an opportunity to just announce something that last month the foundation laid by Ron James, becomes a foundation for history and culture, you know, restored the Yellow Jacket hoist and chute work, which was an absolute emergency situation otherwise that structure would have collapsed, it’s one of the most famous sort of head frame like structures on the landscape, and we had an event at the hotel with county commissioners, county planning department, an incredibly diverse representation from the community. over a 150 people came to cut the ribbon for that restoration and not only did the hotel obviously benefit from that kind of reception we ended up raising $15,000 from some philanthropic sources and distributed it to nine different charities in the community. So, those are the kinds of tangible and intangible continued positives that come out of that incredibly historic hotel.
Jack Albright : Right, been following that in the local newspaper, they’re very friendly towards you guys and I get good reports of what you’re doing, so I keep the tabs on you. Okay the [Indiscernible] you’ve covered that so that’s doing pretty good I guess or on target, do you own any land below highway 80 the main highway down there.
Corrado De Gasperis: It’s highway 50, our property Spring Valley will continue almost all the way up to it. Certain claims that are … probably go up to it, but not on the other side, no.
Jack Albright : Are there any potential ore value on the other side.
Corrado De Gasperis: I think we sell for a while that you know the six miles of contiguous minerals strike that we acquired really represents substantially all of the mineralized area. Some of the lands that we purchased recently have been more let’s say extensions of properties for processing the expansion, more so when mineralization. So I think we’ve got that all wrapped up. There is I heard a claim here and a claim there sort of orphan things that are around that come up from time to time but I would not say anything that’s strategic or immaterial.
Jack Albright : Okay, the only question I have crossed my favorite subject which is shareholders - what they call it, can’t think of what to call them though, dividends, you’ll pay dividends in the future?
Corrado De Gasperis: Jack, I don’t hate that question, why do you say I hate the question.
Jack Albright : I never get a answer, you always postpone it down the road.
Corrado De Gasperis: No, no, in fairness, I think I answered it when Steven was asking the question about what’s your best redeployment of capital in terms of return for the shareholders. You know when you’re sitting on it, six miles of continuous trend where you drove on a tiny fraction of it and your hitting that in every single hole and higher and higher grades, I think if we want this company to have a billion dollar evaluation, we need to drill and grow some ounces, right, so that’s where our money will go first, you know, and at a different stage of maturity there’s absolutely no reason if the company’s throwing up excess cash flow beyond that that we wouldn’t consider paying dividend but I just think it’s premature.
Jack Albright : I still don’t have my answers for me. Still kicking the cans down the road.
Corrado De Gasperis: Only in a manner of speaking.
Jack Albright : But the only reason I can assume -- when I say a lot of shares not like you guys have -- I don’t have millions or hundreds or thousands of shares I guess. And that considerable amount of money tied up and not making anything offer and the stock prices have really moved up too much and it moved up and down a little, but so disappoint somebody like me.
Corrado De Gasperis: I think we all feel that way and I think focusing on cash flow and focusing on expanding the resource base is the way to resolve that and we’re committed to it.
Jack Albright : I see that and that’s the reason I keep asking question, you guys can advance the ounces, but I don’t see any ounces going in my pocket, you know.
Corrado De Gasperis: Well, all right, if you promise me that’s your last question, I can give you an idea about putting ounces in your pocket if you’re willing to listen.
Jack Albright : Sure, go ahead.
Corrado De Gasperis: So we just had a breakthrough internally and I want to tamper what I’m about to day, but I’ve been visiting refineries and trying to get people to commit to certifying pure Comstock silver and pure Comstock gold refining and back to us. And we actually have a couple of channels that are not natural like refinery shutting its entire operation down flushing all itself and letting us go through first which we will ultimately do and we’re very excited about them being willing to do that. But it’s not when we chose, it’s not whenever. So anyway long story short, last week we had internal break through with the ability to do some very small scale separations in our own laboratory which is a normal course of what they’re doing there. And so we’re on the verge of launching a silver coin that will represent the incredible brand of the Comstock Lode coupled with that as 150 anniversary, which we just got approval from the state to use their logo for that too. And so unfortunately you will have to hand me some green dollars, but if you do, I’ll hand you some silver that you can put in your pockets.
Jack Albright : I think I read a paper right now although the sliver.
Corrado De Gasperis: I don’t know. I was illustrating for you. So anyway we’re very excited about it. The premium, the value for this kind of historical coin that can’t be replicated by anybody else pure Comstock silver responsibly mined highest quality U.S. made with the history that comes with grate state of Nevada we think is a winner. And we think there will be many-many winners after that. So ultimately although we do want to increase production we really want to do is increase revenue and cash flow. And there is some we believe we have a few -- we have a few levers to achieve that and we’re excited about being able to offer a pure Comstock certified silver coin, gold too but silver expecting to be very popular for the Silver City in its 150th anniversary.
Jack Albright : My question is that 1 ounce silver coin to target down how many green dollars is that going to cost?
Corrado De Gasperis : Well for this on I’m sorry, Jack it’s going to be quite a bit. I’ll wait until we launch it publically, but there is going to be a lot of digits.
Jack Albright : A lot of silver in the say grew, [indiscernible] like to buy some on that price, now we need only answer of that.
Corrado De Gasperis: I appreciate it. Well, you have a great and I really look forward to the second quarter. I look forward to launching of these products and I look forward to really working through this mine plant getting the better parts of that tiers sooner rather than later.
Jack Albright : Right. I'll be keeping track. See you in June.
Operator: Thank you. The next question comes from Robert Jones. Please go ahead.
Robert Jones: I have first comment and then a question. My comment is I would like to see more raw drilled data current up-to-date on the west side particularly on the east side and going forward the Dayton area and the Spring area, it would make it easier when I’m talking to my investment friends?
Corrado De Gasperis: We’re happy to do. I will follow up. I know we have some after and it’s specifically in those three steps out, we shouldn’t really have too much difficulty, we will be able to have that easily accessible.
Robert Jones: Wonderful. Now my question is, were the risk to a prospects would the company will become takeover target and what kind of defenses have we planned?
Corrado De Gasperis: Thank you for the question. I think that on scale from 1 to 10, with 10 being the highest probability, you know have take over, we’re close to it to the lower end, in part because structurally our lead investor, Chairman has already in control, so I don’t think that is really any possibility at all of our hostile situation or someone steals the company, as you can imagine, both in terms of the quality of the resource and in terms of the current environment, there’s a lot of inquiry going on, all through the industry. And we’re not immune to, we’re getting quite a few calls and interest and our view obviously is that we’re just starting to develop what we believe is an exceptionally high quality and large potential resource and so it’s important for us to be able to develop and deliver that value through our share value without disruption. So I think we’re all protected.
Robert Jones: Okay. And but you don’t have a plan for defense, should it happen?
Corrado De Gasperis: The defense, I think the defense is in place with the fact that our lead investors has the boarding control, so another words he would have to say yes, so it couldn’t be forced or hospitably done to us and now if our design because of the recognition of the potential.
Operator: Thank you. The next question comes from Alexander Goran. Please go ahead.
Alexander Goran - Goran Brothers: Hi, Corrado. So I lost to this [Indiscernible].
Corrado De Gasperis: No, problem Alex, hello.
Alexander Goran - Goran Brothers: First of all, just another good -- congratulation on the result on the relentless of trend of the company, I think you all doing a terrific job, I have a very simple question which you may somewhat answer or not and basically you are doing much better introduction we are doing better in revenue, would you care to guess roughly when you could expect that we would start showing the profits?
Corrado De Gasperis: You know as I think that from our view and I could be very pedantic, repeating some of the aspects of the mine plan. We did increase our cash position in April we were very happy about that of course, we -- I think I have been trying to explain that, we still have some strip ratios in May or June, we believe that stability of the operation in the cost reductions will allow us to be stable with cash and increase cash continuously, but to really breakout from an all definition perspective we need to get to that 40,000 ounce run rate which is really think is the third quarter at the soon next. So it’s nice to generating some cash, it’s nice to be improving from there, but the real breakout and there’s nothing stopping us or slowing us down from reducing cost further faster et cetera, I don’t want to give that impression that’s all we will be doing in May and June. But the mine plan gives us a big lift, when we get into that third quarter and we got through some of the more difficult transitionary part, right. And if we’re running at 10,000 that goes it could have announce as a quarter we will be there. So that’s really what we’re marching towards and we’ll continue to improve that rate and we’ll continue to reduce the cost but I think we still have a couple of months of more challenged strip ratio in front of us, before we get to the really, really good stuff. But it’s around the corner.
Operator: Thank you. There are no further question at this time. Please continue.
Corrado De Gasperis: I just want to thank everybody, for your time and your attention and the interest in the company. It’s April and we have very exciting look forward to our annual meeting, June 27th. Which will actually be hosted at the Gold Hill Depot this year which is right next toward Gold Hill Hotel, perhaps much more capacity so we’re expecting a very excellent turnout. And we will have some of our coins (ph) and available there too. So we’ll move forward and look forward to talking to your all in and around that time, right after the second quarter. Thank you.
Operator: Ladies and gentlemen, this does concludes the conference call for today. You may now disconnect your line. And have a great day.